Operator: Welcome to the Amdocs first quarter 2010 earnings release. As a reminder today’s call is being recorded. At this time for opening remarks and introductions I would like to turn the conference over to Ms. Elizabeth Grausam, Vice President of Investor Relations.
Elizabeth Grausam : I’m Liz Grausam, Vice President of Investor Relations. Before we begin I would like to point out that during this call we will discuss certain financial information that is not prepared in accordance with GAAP. The company’s management uses this financial information in its internal analysis in order to exclude the effect of acquisitions and other significant items that may have a disproportionate effect in a particular period. Accordingly, management believes that isolating the effect of such events enables management and investors to consistently analyze the critical components and results of operations of the company’s business and to have a meaningful comparison to prior periods. For more information regarding our use of non-GAAP financial measures including reconciliations of these measures we refer you to today’s earnings release which will also be furnished to the SEC on Form 6K. Also, this call includes information that constitutes forward-looking statements. Although we believe the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that our expectations will be obtained or that any deviations will not be material. Such statements involve risks and uncertainties that may cause future results to differ from those anticipated. These risks include but are not limited to the effects of general economic conditions and such other risks as discussed in our earnings release today and at greater length in the company’s filings with the Securities & Exchange Commission including in our annual report on Form 20F for the fiscal year ended September 20, 2009 as filed on December 7, 2009. Amdocs may elect to update these forward-looking statements at some point in the future; however, the company specifically disclaims any obligation to do so. Participating on the call today are Dov Baharav, President and Chief Executive Officer of Amdocs Management Limited and Tamar Rapaport-Dagim, Chief Financial Officer. Following our prepared comments, we’ll open the call for Q&A. Now, let me turn the call over to Dov Baharav.
Dov Baharav: Today we are very pleased to announce our performance in the first quarter which led to revenue and EPS at the top end of our expectations and record free cash flow for Amdocs. Today I want to focus my comments on the trends we are seeing in managed services. As we discussed last quarter we expected managed services to be the core gross driver for Amdocs in fiscal 2010 and I can inform you now that we are off to a great start in the first quarter. Encouragingly we saw good diversity in the managed services deals we signed this quarter, including three brand new customers to Amdocs of which one is in Asia Pac. Importantly today, we announced two significant managed services agreements with AT&T and Bell Canada. First, with AT&T, we have expanded our agreement to include additional applications management services, billing and contract signed in 2007 to support AT&T’s consumer and wholesale [ph] wireline businesses. In addition to expanding the scope of our responsibility we have also extended the terms of the overall managed services agreement with AT&T through 2017. At Bell Canada, we have extended our managed services relationship for an additional five years to 2017 as well. We believe these new agreements with two of the largest carriers in North America clearly demonstrate the high quality value added and cost competitiveness of our solutions. Additionally, in an important development for Amdocs, we have continued to expand our managed services presence with smaller and emerging service providers over the course of the last 18 months leading with the MetroPCS deal signed at the end of fiscal 2008 continuing with Clearwire in 2009 and now kicking off 2010 with several new wins in the first quarter including DAVE Wireless. Although we believe our momentum in managed services is perhaps the clearest expression of the advantage of our product-led services business model, our focus on communication customers enables us to gain deep domain expertise which are able to be reflected now in our software products. The combination of our domain expertise, industry leading products and operational excellence in turn allows us to enjoy unique competitive advantage in managed services. In addition, by enabling modernization through managed services, we improve our customers’ ability to compete and innovate while mitigating large add-on [ph] investments to accomplish their critical strategy goals. Beyond managed services, we also identified cable and satellite as a key growth driver for 2010 and we are pleased to report that it performed very well in the first quarter and in line with our expectations. Additionally, our project oriented businesses demonstrated improving trends in Q1. Customers are beginning to reengage in spending plans and we are seeing some early evidence of customers pushing forward with transformation and projects albeit still at a relatively cautious pace. We are also increasingly confident that Europe is stabilizing. To conclude, we are happy to start our new fiscal year on a higher note and as we enter the new decade we believe our competitive position has only strengthened. We are a more efficient company and are offering more cost competitive solutions to the market. At the same time, we have continued to aggressively invest in innovation most recently illustrated by our CES 8 launch yesterday. The CES 8 release further distances Amdocs from its competition with the most advanced solution in the market today. CES 8 was developed to enable our customers to run leaner operation while at the same time prepare for the changes and opportunities that the connected world offers. The portfolio offers both best of breed competence and best of suite integration and now includes the acquired offering from ChangingWorlds and jNetX. Additionally in CES 8, we have focused on reducing the cost associated with installation, implementation and maintenance of our system which we believe will serve to further differentiate Amdocs. Combined with our superior business model these factors are resulting in us winning in the marketplace and I am more optimistic than I have been in well over a year that Amdocs is entering a period of resumed growth. With that, I’ll turn it over to Tamar for a discussion of our first quarter financial performance and our forward-looking guidance.
Tamar Rapaport-Dagim : Revenue of $725 million was at the top end of our guidance range of $705 to $725 million with currency providing about $4 million of sequential lift relative to our expectation of negligible benefit when we issued Q1 guidance. The revenue performance led to a non-GAAP earnings per share of $0.55 also at the top end of our guidance range. Moving on to profitability, our non-GAAP operating margin of 18.1% was consistent with our fourth quarter performance and in line with our expectations. We continue to focus on maximizing our operating profit growth through top line expansion while at the same time striving to at least maintain an 18% non-GAAP margin level in fiscal 2010. This margin outlook excludes any large new managed service agreements which are not currently contemplated in our revenue outlook. Other income was modestly negative this quarter due to costs associated with foreign currency fluctuations and a continued low interest rate environment. However, the results were within our range of expectations. We want to highlight that we expect other income to continue to be negative in the range of a few million quarterly going forward. This view is incorporated in our EPS guidance for Q2 and may persist throughout 2010 as global currencies remain volatile. We reported record free cash flow in Q1 coming in at $170 million comprised of cash flow from operations of $194 million less approximately $24 million in next capital expenditures and other. Driving this performance we continue to have good collections with DSOs of 61. Additionally, we experienced another uptick in both short term and long term deferred revenue. Our cash balance at the end of the first quarter was $1.3 billion. We continue to prefer using cash to support our M&A program and our managed service business and our pipeline in both areas remains active. Our 12 months backlog which includes anticipated revenue related to contracts, estimated revenue from managed services contracts, letters of intent, maintenance and estimated ongoing support activities was $2.425 billion at the end of the first quarter of fiscal 2010, up $40 million sequentially. Looking forward for the second quarter of 2010, we expect revenue to be within a range of $730 to $750 million. We expect currency will positively contribute a few million sequentially to our revenue in Q2. We anticipate our non-GAAP operating margin in the second quarter to be at least 18% and we will continue to balance our profit targets with our desire to reinvest in the business as conditions improve. We also anticipate that our non-GAAP tax rate will remain in the range of 13% to 15% and expect Q2 non-GAAP EPS to be in a range of $0.52 to $0.56. Incorporated in this view is an expected average diluted share count of roughly 208 million shares in Q2 and the likelihood of negative other income due to effects from foreign exchange fluctuations as discussed earlier. We also expect free cash flow for Q2 will be at least $100 million; however, we will pay annual bonuses in the second fiscal quarter, so cash flow should be down sequentially off of the record level reported in Q1. Given the improvement in the market conditions and the increase in our visibility we believe it is appropriate to share some color on our fiscal 2010 revenue expectations. At this time, for internal planning purposes, we expect to sustain constant currency sequential revenue growth in the range of roughly 1% to 2% in the back half of fiscal 2010, a level similar to what we have experienced for the past two quarters. With that, we can turn it to the operator to begin our question and answer session.
Operator: (Operator Instructions) Your first question comes from Tom Roderick – Thomas Weisel Partners.
Tom Roderick – Thomas Weisel Partners: Tamar, your guidance is beyond just the next quarter, it is quite strong with respect to the visibility in the second half of the year. This is clearly a change from last quarter in that you were a little bit cautious in issuing longer term guidance. So as you think about what sort of changed in the visibility in the model, can you talk a little bit more, and North America seems like a good place to start as that bounced back this quarter, what are the types of projects that folks are getting engaged and that’s driving that visibility beyond just this quarter? And, can you talk a little bit more about the transformational projects within that?
Tamar Rapaport-Dagim : Yes, we are feeling better as we are continuing to see the momentum growth for second quarter in a row and also encouraged to see a very good quarter in terms of new signings as well as the continuation of the success in two very important growth pillars we have in the company which are managed services and cable and satellite. This reflects itself in the color we gave beyond even Q2 in terms of our internal planning and how we forecast the second half of the year. What we see is overall a good momentum both with existing customers as well as our penetration into new logos, which comes in the form, first of all of better appetite that we see across the globe for customers to sign up and talk about transformation. So even though they are still being cautious in some cases, in terms of how they commit, and they are doing it in some cases in a phased approach, definitely the number of discussions that we see around transformation has increased as well as the number of wins. In addition to that, we continue to see that the unique business offering of modernization with managed services is a compelling business offer that helps us penetrate into lower sales carriers, both existing ones as well as new entrants into the marketplace. 
Tom Roderick – Thomas Weisel Partners: One quick follow up for me just in terms of the managed services extensions that you guys signed this quarter. I guess typically we’d expect to see a bit more of a margin pull back given what might come along with some pricing concessions for a longer term deal outlook. Can you talk a little bit about, should we assume that there are some natural margin pull back associated with the managed services business for a period of time, or were you able to hold the margins on that segment of the business consistent with everything else?
Tamar Rapaport-Dagim : Without referring to the specific deal, overall, when we proactively discuss with our customers either expansion and usually when we go into discuss extension, as you can see we are doing it before, many years before actually the contracts are ending, given the relationship we have with the customer and the satisfaction level they have from our performance. So typically when we go into such discussions, there are different things that are being discussed prices, operational flexibility, SLAs, there are many elements to these discussions, so yes prices are one of them. But not necessarily this is coming with a large pressure immediately on the margin given the overall I would say scope changes that are happening at the same time and different elements are going into that, including as I said before, more operational flexibility on our side to perform the same or even better sales level for the customer but from our point of view with a better cost structure.
Operator: Your next question comes from Julio Quinteros – Goldman Sachs.
Julio Quinteros – Goldman Sachs: Just to sort of stay on that point on the extensions, can you just maybe talk a little bit about the capex requirements of both the Bell Canada and AT&T sort of the extensions ramp up? Do you expect to see more in the way of capex requirements to get to the additional work here?
Tamar Rapaport-Dagim : None of these extensions require any special capex investments.
Julio Quinteros – Goldman Sachs: Then on the second part, as we look at sort of the second half of 2010 and you’re looking at sort of the improved visibility, the improved annual run rates, can you just give us a sense when you kind of look at this versus a more normalized year how good is your annual visibility if you were to sort of look back to obviously before this year’s downturn? Do you feel comfortable that the annual visibility that you have now is kind of back to normal levels or is there still some puts and takes to sort of take into account? And, what would those be?
Tamar Rapaport-Dagim : Overall, I would say the main thing that has changed versus several years ago is the percentage of managed services in our overall business. That by nature of this business and the commitment level coming from customers, that is usually longer term is increasing the business visibility overall. Now looking in terms of the reflection of the percentage of new projects impacting our backlog currently, actually you have seen during the downturn of ’09, even though revenue was down 9% year-over-year, the backlog, the 12 months backlog has hardly moved relative to that. So not necessarily backlog will move also going forward as an indicator of the growth but overall we feel that visibility given the business model is important. 
Operator: Your next question comes from Ashwin Shirvaikar – Smith Barney Citigroup.
Ashwin Shirvaikar – Smith Barney Citigroup: My first question is could you broadly comment on forward margin and cash flow expectation as you think about full year 2010?
Tamar Rapaport-Dagim : Well, regarding the margins, as we said and we still believe in that approach is that we would like to see the overall operating income expanding as a result of the top line expansion, while seeing the 18% level as the level we would not want to go below. So what’s happening actually is we are reinvesting into the business in order to generate the growth while protecting the 18% profitability. Looking from a cash flow point of view, we have seen very strong, recent few quarters in terms of the free cash flow performance, not necessarily free cash flow conversions to earnings of 150% is not a sustainable magic unfortunately, and we have indicated that in the second quarter of the fiscal year, we are paying also some annual bonuses. However, we feel that we are much more built today and focused today in the last I would say two years in terms of creating the right mechanism in the deals we are signing in terms of the invoicing milestones. We have done a lot of changes the last two years around operational performance, around collections, all of these factors are translating to the cash flow performance; however, I cannot promise you going forward this kind of levels that you have seen in the last two quarters.
Ashwin Shirvaikar – Smith Barney Citigroup: When you said in your prepared remarks that Amdocs is entering a period of renewed growth, what rate of sustainable growth do you expect given the business mix between the core billing customer care which maybe grows a little bit slower and the emerging faster growth, other parts of the business? Is that sort of consistent with your 1% to 2% sequential or did you have a higher growth rate in mind?
Dov Baharav: Looking right now at the growth for the second half of 2010, we are very clear that we are back to growth. So we are still celebrating the fact that we moved from uncertainty to more confidence in our existing growth, but still I wouldn’t say that the market is back to fast growth. Our confidence regarding the growth in 2010 is based on the fact that we see the global market stabilizing and our carriers are speaking more about stabilization and start talking about growth. We have a lot of confidence in 2010; however, it is too early to comment on how we will grow beyond 2010. We believe that since we emerged out of the crisis stronger with better offering with the CES 8, the market leading portfolio, with better cost structure of the company that we have achieved during the crisis, with a better offering to the market with a by far more robust managed service offering, with proven success in the marketplace, we think that we have the arsenal and all the ammunition to accelerate the growth but at this point, it is too early to comment on the growth beyond 2010.
Operator: Your next question comes from Sterling Auty – JP Morgan. 
Sterling Auty – JP Morgan: In terms of looking at the guidance, the reaction that I had and others I have talked to, it seems like the revenue guidance was even better than the EPS guidance and I think one of the things that you commented on was the other income. Can you give us more insight in terms of the costs that might be hitting other income on the FX? Is it the cost of hedging or is it the FX adjustments that are flowing through the other income that is hitting the line?
Tamar Rapaport-Dagim : Sterling, as you indicated, with the (inaudible) when we guide for the EPS range below the operating income line, which is coming from the FX volatility and also within the range of the tax rate for the quarter that could be between the 13% to 15% that could be different outcomes. So looking on foreign currency, unfortunately we continue to see very high volatility even within that quarter. Sometimes you compare the beginning of the quarter to the end of the quarter, and it seems like a movement of only 2%, but during the quarter we see some of the major currencies that we operate in moving more drastically. A lot of that is flowing in the finance income line, things like (inaudible) valuation for example. Even though we extended significantly the hedging program around that by the fact we are operating in 60 countries in many currencies and running operations in those currencies there is always something that is being reevaluated given the volatility and this results in sometimes a few million dollars a quarter which we are baking into the guidance.
Sterling Auty – JP Morgan: Then on the comment about the strength of cable and satellite, specifically to cable, you talked about some of the things that you have done with Comcast but as you look in the quarter as well as the expectation for the year where do you think the biggest strength is going to come from? Is it going to be on the CRM side, the OSS side, the billing side, or managed services? Where do you think you are going to get the biggest leverage from in the cable industry specifically?
Dov Baharav: Well, in the cable industry, one area of costs would be the managed services. We believe that actually every existing customer of Amdocs today might be a potential for increased activity in the managed services. On top, we see demand for our BSS, which includes the billing and the CRM, and also there is room for the new digital services. As you know, all the cable companies are moving towards the triple play and competing in the data area, so we believe that they will expand their activity. Now, our CRM proved to be very efficient and very helpful for the cable carriers so the fact that we (inaudible) and replacing an existing CRM system by our platform where we address the needs of the cable company including ordering that is very unique for cable. That gives us the confidence that we can expand the business in the CRM ordering on top of billing and OSS which we see a big potential as well.
Operator: Your next question comes from Jason Kupferberg – UBS.
Steve Fordham - UBS: This is actually Steve Fordham sitting in for Jason. In the context of the 1% to 2% sequential revenue growth that is expected for the rest of fiscal ’10, what are the underlying assumptions for the project based businesses versus the managed services business?
Tamar Rapaport-Dagim : I don’t think we are going into the details of exactly what will happen in each one of these quarters in terms of managed services and projects overall. What we do convey in this message is that first of all we continue to see strong performance of managed services continuing. Even through 2009 when we had pressure in many areas of the business, managed services on the communication side continued to perform well and going into 2010, we are encouraged to see that this trend is continuing. On top of that, we see the project activity not only stabilizing but continuing to show momentum in terms of new signings and commitment appetite from the customers starting to pick up. So, that should translate its way into the numbers into the rest of 2010.
Steve Fordham - UBS: How would you characterize the change in length of decision cycles over the past quarter? And, is it varying materially by geography or service offering?
Dov Baharav: I think that the selling cycle is getting a little bit shorter. What actually characterized the activity of the carriers this quarter is suddenly we see readiness to sign contracts. I would say if two quarters ago we saw a lot of hesitation and all the time it was a new excuse why not to sign the contract, suddenly they are out of excuses and they are ready to sign, which gives us the confidence that they are ready to start moving forward and in some cases go through transformation and in some cases to change the way that they operate and adopt managed services and actually investing in their business in order to be more competitive. That is how we see it.
Operator: Your next question comes from Shaul Eyal – Oppenheimer & Company.
Shaul Eyal – Oppenheimer & Company: Two quick questions on my end, I think Tamar last quarter you talked about Europe growing sequentially if I am not mistaken by about 5% to 6% for the first time in about a year. Obviously you talked about stabilization in Europe, what was the rate this quarter if you can be kind of slightly more specific about it?
Tamar Rapaport-Dagim : Actually it is a few million down this quarter. As we indicated last quarter, we were hesitant to talk about stabilization last quarter even though we have seen sequential increase, because it was the first quarter after several ones that we were finally seeing positive signs. So, now in the second quarter in a row, we consider even a few million dollar down to be stabilization and we continue to see also good momentum in discussions with the customers in terms of their appetite and interest level regarding modernization while in 2009 Europe was I would say more of the dormant areas that we were facing. So we can talk about stabilization, probably too early to call it victory on the European side but we feel more optimistic today than six months ago.
Shaul Eyal – Oppenheimer & Company: On the hiring front what was the headcount by the end of the quarter? And, what are the hiring plans for the remainder of 2010?
Tamar Rapaport-Dagim : As we are indicating in the press release, we have about 18,000 employees and we are not disclosing specific plans for recruitment going forward.
Dov Baharav: But let me add, we continue to recruit and probably in order to facilitate the 1% to 2% growth that we anticipate for the rest of the year, we will have to continually recruit. 
Tamar Rapaport-Dagim : The main thing if you look at the workforce aspect is that we created through this cycle of pressure down in ’09 and now we’re seeing the growth pattern back again a major change in the cost structure of the company. As we have released most of the employees through the layoffs in the high cost regions in which we operate, and actually, most of the hiring is done today in the low cost regions. So this is a major change in the cost structure that is strategic for the company.
Operator: Your next question comes from Karl Keirstead – Kaufman Brothers.
Karl Keirstead – Kaufman Brothers: I have got two questions, the first is Tamar could you offer a little color on the bump in deferred revenues that contributed to the strong free cash? Then secondly, just to go back to the AT&T and Bell Canada deals, it looks like they are primarily extensions, which I presume won’t be too incremental to growth except for the AT&T deal where it looks like you added the scope. Can you give any color as to what the incremental revenues could be from the AT&T and Bell deals?
Tamar Rapaport-Dagim : The main two reasons for the increase in deferred revenue are first signings of new deals that came with the preferable payments at the earlier part of the deal. Secondly, and I will say even more importantly is just the matter of gap in timing between accounting recognition, especially in managed services deals, the pattern of recognition of those deals versus the invoicing milestones are not necessarily in line, so that is creating now with positive momentum on the deferred revenue coming with long term deals. Now, on the AT&T and Bell question, as you have indicated, an extension is actually impacting the future years of the company not the current year and creating higher visibility overall for the company. In the AT&T case the signing included expansion of activity that will bring some incremental revenue but unfortunately we cannot indicate specifically the size of that expansion.
Operator: Your next question comes from Scott Sutherland – Wedbush Morgan Securities.
Scott Sutherland – Wedbush Morgan Securities: A couple of questions, first can you talk a little bit about opportunities you are seeing in interactive and data billing especially as some operators are starting to dabbling in things such as meter to billing? Does this create any sort of transformation in billing systems or opportunities or risks for you guys?
Dov Baharav: We consider the transformation of the industry (inaudible) but mainly an opportunity. The fact that there is a shift in the industry where more activity is moving toward data services, the fact that there is by far more usage of the network by connected devices where every person will have not only one phone but might have 10 connected devices. It might be the phone, it might be the Kindle, it might be other monitors or TVs connected to the network. As a result of it that is creating new level of complexity and needs of the network which plays to our hand. As you know, we have our OSS offer. The OSS offering including, for example, network planning, how you plan the network which is very relevant today when carriers are rolling out the LTE which will be the new network that will enable all this connected world. Our OSS on the other hand can enable them to do all the provisioning for the new connected world for the new product and that was only in the OSS. If you are looking at the BSS, the billing our new offering the CES 8 that we just rolled out has a market leading capability of providing convergent, prepaid, post paid at a very low cost to the marketplace which is based on our on one end patented, innovated technology which we call the Turbo Charging and on the other end the integration of all the business processes and the best practices due to the fact that we are providing the services in our packs. So this offering actually enables carrier to move from not only to do the traditional activity at much lower cost but also enables them to be very successful in the new roles where they can meet different activity, different usage of data and actually enable the usage of many, many new connected devices. So we believe that our current offering is supporting the current needs and the future needs and that without talking about all our offerings in the digital areas that we added lately including the personalization, including the SDP, the service delivery platforms that we added through our two acquisitions lately and integration of that to all the Qpass that we bought several years ago which includes the storefront and digital commerce.
Scott Sutherland – Wedbush Morgan Securities: The follow up question is, as I look at your licensing revenue, that has continued to be under pressure. I know you have seen traction in the managed services side. In what context should we view the licensing revenue going forward in the future and viewing that also as a leading indicator to services type revenue?
Tamar Rapaport-Dagim : I think that overall definitely license revenue is related to the level of the project activity within the company but it is not necessarily directly linked because different products come with a different proportion of license versus services revenue in them. So yes, we expect license to track up as we continue to see good momentum with projects but not necessarily I would see that as a leading indicator for the size of project activity.
Operator: Your next question comes from Daniel Meron – RBC Capital Markets.
Daniel Meron – RBC Capital Markets: A couple of questions here, the first one, you launched the CES 8 product yesterday, if you can just highlight the main differences from the prior pack? Then you also mentioned on your launch yesterday that you have several customers lined up for the product, if you can elaborate on the nature of these upgrades and what could be the adoption rate of this new suite?
Dov Baharav: We are very excited about the launch of the CES 8. We believe it is a defining moment where we are releasing to the market a unique, comprehensive, deep platform that we see already the momentum that it creates in the marketplace. Let me give you some examples of the new features and benefits that we bring in this CES 8. It starts with the fact that we are able to offer packs. We have the BSS pack, the business support system pack and we have the OSS pack but the BSS pack is actually a combination of the billing, CRM, ordering, self service and product catalog in one pre-integrated package pack including the business processing, including pre-populated table with substantial investment in the integration, in the ability to install it quicker and the ability to maintain it in substantial reduction in the overall activity in order to roll out new services. So these packs are actually offered to the market in much lower prices with much higher margins for us. We see substantial demand for this pack and we see it in the rate of wins which we have against the competition which was very high in this quarter. The second thing of the CES 8 is that we have lowered the cost of the hardware. The Turbo Charging, it is our patented innovative platform for our rating. It enables us to reduce substantially the cost of the hardware. On top of it we are moving to LINUX and this too plus the other activity are reducing the cost not only of the software but also of the hardware. Now, we offer to the market a unique prepaid offering, market leading that we did not have before, which is the combination of the Turbo Charging with unbelievable high speed and low cost, plus session control that we acquired as part of jNetX which is the market leading one. More than that, we offer real time convergent billing which is what I said right now it is the Turbo Charging, it is real time, plus the jNetX that are providing the session control, and it is also post paid, real time post paid. Now, we see a lot of demand for real time post paid. We can offer today real time post paid in prices that are lower than the previous batch processing of post paid. Those are just several examples of the benefit of this platform. And, on top of it, we have for example just one more example, device care. We enable carriers today to actually take care of the smartphone. Given the complexity of the smartphone and the load that it creates on the call center, we have the ability to enable the CSR to be connected directly to the phone and actually configure it and address the changes there and by that reducing substantially the cost of the care of Smartphone and increasing the customer satisfaction substantially. These are just a few examples. We believe that the demand that we have seen already in Q1, the December quarter is a reflection of the values that we bring to the market with the CES 8.
Daniel Meron – RBC Capital Markets: Then last just a follow up, the directory business accounted for almost half of the sequential growth this quarter, is this a sign of rebound in this business? Should we expect it to continue at this pace? How should we think about the directory business in 2010?
Tamar Rapaport-Dagim : I think the good news is that it has stabilized. It can fluctuate from quarter-to-quarter, so not necessarily now we are committing to continued momentum of the one within this month versus the prior one, but overall we feel confident that this business has stabilized. 
Operator: Your next question comes from Ted Jackson – Cantor Fitzgerald.
Ted Jackson – Cantor Fitzgerald: I have got one left and that is just talking quickly about the pickup in project orientated activity. Is that just primarily being driven by an improved economic environment or is there a component of that improved situation that is driven by the release of CES 8? Then behind CES 8, can you talk a little bit about how the roll out of a new release maybe drives services revenue within your installed base?
Dov Baharav: I think that you mentioned the components that are all there. First of all is the improvement in the economy. They are now ready to move if before they said, “Let’s wait.” Now they are ready to move. This is one thing that is a tailwind for all the activity. The second one as you said is CES 8. The thing that we have now in offerings that is very appealing is it is a low cost with by far more better performance and more than that today with our managed service offering we can offer them to do some transformation without paying upfront a lot of money. For example, DAVE Wireless that we announced and some other wins that we have had that we have not yet disclosed the name, we were able to take the customer through transformation without substantial upfront payment, actually funded by the savings from managed services. So the combination of the best product, a very efficient installation capability and managed services creating an offer that is very difficult to refuse. The last one that is creating the demand for new project oriented activity is the move to the new world. The fact that they need suddenly real time for the new data services, they need to bundle new digital services with old one, they need to do it in lower cost, in more flexibility, all that creates new demand. All that together in our unique offering creating the new increased demand. 
Operator: Your next question comes from Shyam Patil – Raymond James & Associates.
Shyam Patil – Raymond James & Associates: Dov, you talked about customers moving forward with transformation projects. If you think about just the large deals that are say $50 to $100 million in annual revenue what kind of RFP activity or appetite are you seeing for these kinds of deals? Are there any particular application areas or geographies that standout in your mind?
Dov Baharav: We see some project as you mentioned with a higher number; however, we do not anticipate to see them reflected in the backlog and immediate increase in our revenue due to the fact that the market is moving to phased approach. It is to say there is some scoping which might be $3 million and we’ll get the order only for the scoping and later on there will be order for phase one and order for phase two and as a result it is not translated to immediate signing of a large deal. However, we see demand in APAC for a large deal. We see demand in the phased approach in Europe and also in North America so actually it's everywhere. 
Shyam Patil – Raymond James & Associates: My follow up question is can you talk a little bit about the open market business? What kind of trends are you seeing there, the growth rate, how big it might be? Then, what your plans might be to expand internationally for that specific business?
Dov Baharav: I would say one of the exciting activities in Amdocs is open market. Just for people that are not so familiar with this activity, it was part of the acquisition of Qpass that we cultivated and it is growing very fast at a very high speed. Its offering actually includes two main components, one is a third party mobile payment and the second one is standard SMS. The one that is third party mobile payment, this is exciting, actually you can get on some Internet sites and you can choose to pay through the telephone bill. So you get on the site without any connection to any carrier but you can choose to pay through the carrier. So in the United States we are connected to 98% of the subscribers through all the carriers and we are processing all this activity. So to some extent we created the kind of exchange that content providers can register. They know in advance how much they are going to get and we are managing for them everything including distributing the content, including collecting the money. So the carrier collects the money, we arrange everything and we actually manage all this activity and we see substantial growth. On top of it we are also distributing advertisement through SMS to all the mobile subscribers as part of the activities there. Now, it still is relative small to the activity of the company but the gross weight was 30% and even more. It is profitable and our intention is to expand globally so we will have a global offering, not only in United States but also in Europe and APAC and the other regions and we also intend to increase the number of services that we provide. This kind of activity where we enable mobile activity and enable content providers and merchants to distribute advertisement in a very easy way, this is we see an area with big potential for us. 
Operator: Your next question comes from Will Power – Robert W. Baird.
Will Power – Robert W. Baird: Just a follow up question of sorts on the 2010 revenue guidance, as we look at the Q1 results, revenue sequentially was driven principally by North America so as you think about the 1% to 2% sequential growth expectation through the balance of the year, do you expect that to be driven principally by North America or should we expect that to be more evenly spread across geographies?
Tamar Rapaport-Dagim : I think it is hard to predict exactly how the revenue growth will spread across the regions but definitely we need to take into consideration the fact that we continue to see improvement across the board. We are currently at about three quarters of the business in North America so just by this large base of activity in the region and the fact that we continue to see good momentum in that region as well, I expect also large portions of the growth to come from North America. But, more importantly is the fact that we continue to see good momentum with CES 8 as a compelling business offer in emerging markets and in Europe as well.
Will Power – Robert W. Baird: Then just maybe as a follow up, I know it sounds like Europe has started to stabilize which is clearly positive, as that starts to presumably grow at some point, what do you think is going to be the real products there that drive Europe? Is it managed services as it is across your business or is there some other products there that you think will be the key drivers?
Tamar Rapaport-Dagim : We believe that the new platform launched just yesterday, the CES 8 is addressing exactly the needs of the European markets as well as the other regions in which we operate so we believe this can be part of the momentum we will see there hopefully.
Operator: That is all the time we have for questions today. I would like to turn the conference back over to Dov Baharav for any additional or closing remarks.